Operator: Good morning. My name is Brent, and I will be your conference operator today. At this time, I would like to welcome everyone to the Roblox Fourth Quarter and Full Year 2022 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator instructions] Thank you. Stefanie Notaney, you may begin your conference.
Stefanie Notaney: Thank you. Good morning, everyone, and thank you for joining our Q&A session to discuss Roblox's Q4 and full year 2022 results. With me today is Roblox Co-Founder and CEO, David Baszucki; and CFO, Mike Guthrie. Before we begin, I want to remind everyone that earlier this morning, we published a shareholder letter and earnings results on our Investor Relations website at ir.roblox.com. On this call, we will make some brief opening remarks and reserve the rest of the time for your questions. For our webcast participants, please note the question icon at the bottom right of your screen where you can type in your questions. We'll do our best to take as many questions as possible in the time we have allotted today. On today's call, we may be making some forward-looking statements, including but not limited to our expectations of our business, future financial results and business, and financial strategy. Forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those described in our forward-looking statements, and such risks are described in our risk factors, included in our SEC filings, including our annual report on Form 10-K and quarterly report on Form 10-Q. You should not rely on our forward-looking statements as predictions of future events. We disclaim any obligation to update any forward-looking statements, except as required by law. During this call, we will also discuss certain non-GAAP financial measures. Reconciliations between GAAP and non-GAAP metrics for our reported results can be found in our press release issued this morning as well as in our supplemental slides, copies of which can be found on our Investor Relations website. Finally, this call is being webcast. The webcast will be archived on our IR website shortly afterwards. With that, I'll turn the call over to Dave.
David Baszucki: Thank you very much, and welcome, team. Welcome, Mike. It's a pleasure to be here. Welcome to the Roblox community, and welcome to all of our investors. We continue to focus on innovation, and we're very pleased with our results from Q4 and the early signal on January. We have enormous headroom in our business. We have the whole company focused on one product one platform. And in the midst of a fair amount of turmoil over the last year, we continue to hire and build an amazing team with amazing people. We're focused on our four growth vectors: one is bringing people together all around the world; one is expanding our platform to encompass people of all ages; third growth vector is we continue to see expansion into education, into concerts, into communication; and finally, our economy is vibrant and growing as we'll share in our call. A couple of details, Q4 bookings, $899 million, up 17% year-over-year, or 21% on constant currency and highlighting this is around the world, including U.S., Canada and APAC each at 19% growth in Q4, some slight acceleration in 2022 going into 2023 with December 20% year-on-year, January 21% year-on-year. And this is highlighting our global growth in January with Europe and APAC, up 29% year-on-year. For older users, which is an enormous opportunity for the platform sometimes referred to as aging up, this is not a new thing for us. We are in the middle of aging up. And in January, we saw our 17 through 24-year old segment grew at 39% year-on-year for bookings. Going into usage and DAUs, we're proud to report that in January we had our highest ever DAUs at 65 million DAU and Q4 DAUs continue to show really strong growth: Europe 24%; APAC 21%, U.S. and Canada up 19% in Q4 DAUs. Amazingly, well, not really amazingly because we're so focused on innovation, we burned almost no cash in 2022, roughly negative 0.5% cash, which we're really, really proud of. And on an adjusted basis, in Q4, our EBITDA was $183 million, or 20.3% of bookings. I want to highlight that underneath all of this progress, we focus very heavily on key drivers around sign-ups, retention, frequency, engagement and monetization. And all of these numbers continue to be near or at all-time highs, even as we've emerged from COVID. Long-term, we remain singularly focused on ushering in this new category of immersive communication. And we continue to see what we believe are the benefits of this new category as we start to rollout voice and facial animation, including the ability for people to be virtually in the same place as they communicate the ability to pick up many queues around human interaction, including eye tracking, arm tracking, which we don't sometimes pick up on the phone or on a video call, the ability to stimulate more and more of the audio that we see in the real world that helps our communication. And finally, of course, what everyone does on Roblox in addition to communicating doing things together. This vision we think has enormous headroom for us. If you've been with us on our Investor Day or some of our calls at RDC, we believe this is the next generation of communication following from audio phone, video calls, texting, messaging. Behind the scenes on our innovation stack, there is a lot of metrics that are moving that to our average user are invisible, but are very, very important and go side by side with our innovation. We're constantly making improvements in the performance of all of our apps in the speed at which people can connect to Roblox experiences in the performance of our cloud around the world and the performance all around the world as we roll out new edge data centers. And of course, the more visible parts of our innovation continue to be visible as well. We continue to roll out voice. We've had over a million experiences, so far enabled voice chat. And as we continue to roll this out, we're very pleased with the adoption and the level of immersiveness that this has brought. We talk about dynamic heads and facial animation because we're in the middle of this rollout. But we believe very soon we will assume this is just a core part of Roblox and we will stop referring to dynamic as it will just be part of an active avatar. This is the same with layered clothing with over 100 million – 115 million people adopting layered clothing so far. This will transition to just being called the clothing system on Roblox. And finally, we're well on our way. I believe we've passed 90% of our catalog now being UGC. We're well on our way to that being 100%, including all of the avatars on the system as well. And finally, we're really pleased from the safety and stability standpoint to roll out experience guidelines in Q4, which is really discontinuing our vision of building a platform for all ages around the world. Our active developers are up 33% year-on-year. We've had 70 experiences now past one billion visits at the end of 2022. Brands continue to come to roadblocks as this is a new form of bringing people together with brands. We're proud to welcome the NFL, FIFA, Netflix and of course, Elton John, Mariah Carey. We have a lot more coming in 2023. And something really near and dear to my heart, just given my prior company was an educational software company. We're really proud to see institutions like the museum of science in Boston, start to roll out large immersive educational efforts such as their mission to Mars Roblox interactive experience. Finally, safety and stability is a foundation for us, and we were really pleased be the first tech company to support the landmark child safety legislation in California last year called the California Age-Appropriate Design Code and we're hopeful more states will adopt it. With that, we'll either turn it over to comments and let Mike have something to chime in.
Mike Guthrie: Yes. Thanks, Dave. I just want to add a couple of thoughts before we open it up for questions. As it relates to cash flow, as Dave mentioned, we did continue to take an investment posture this year, we're really happy to see high returns on those investments and to see margins coming back into the business, really driven by top line growth. We spent over $400 million over the course of the year, investing in infrastructure, primarily related to our data center in Ashburn, Virginia, and still we're able to run the company effectively cash flow neutral for the year, which was a goal of ours internally. Those capital expenditures related to infrastructure will be down significantly in 2023, somewhere between 25% and 30% lower this year. Dave also mentioned our focus on frequency, engagement and monetization. I also just want to point out, we had incredibly strong results and you can see it in our supplemental materials around payers on the platform. So in the fourth quarter, we reached an all-time high of 13.4 million payers, highest amount of returning payers that we've ever had, which means, obviously, people are sticking with us, which is great. And we added more new payers than ever before with the exception of the very first quarter of COVID. So we had incredibly strong growth in payers. And at the same time, the monetization prepare in the fourth quarter was up significantly and as strong as it's ever been. We're also seeing very, very healthy what we refer to as payer conversion. So more users are becoming payers than ever before, and that's pretty much true across the globe. Each individual region is reaching its peak in payer conversion. They did at least over the holidays. And so when we look at that on a seasonal basis, that looks very strong. So again, as Dave mentioned, a great end of Q4, a nice start to 2023 and why don't we pause there and open it up for questions.
Operator: [Operator Instructions] Your first question comes from the line of Omar Dessouky with Bank of America. Your line is open.
Omar Dessouky: Hey guys, thank you for taking the question. Everybody is talking about ChatGPT, it's being asked of all the big companies. So I wanted to ask, how does the availability of this new technology maybe accelerate or not your time line towards inexperienced creation tools? And what proprietary data sets do you have that could break through – domain-specific – that could create breakthrough domain-specific applications using the GPT3 models?
David Baszucki: Great question. And this is a wonderful area. There is going to be a block post from our CTO, Dan Sterman, coming out tomorrow sharing really the wide range of opportunities that you could imagine ML will accelerate and stuff we've been working on for quite a while. Going through the whole Roblox virtual universe, we can, of course, imagine code acceleration and the amazingly large data set of Lua code that all of our creators have built on the platform that sits in our cloud that we can accelerate. Of course, we can model, imagine 3D model acceleration and something very near and dear to the heart of every player on Roblox is their own personal Avatar. Traditionally, Avatars have been created in many, many ways, including mixing and matching parts, moving sliders, but we're going to see more and more a range of innovation around Avatar creation that’s much more natural and natural language-based creation. And behind the scenes, in addition to this, there is another wide range of opportunities around customer service, around how NPCs perform around the performance of search and discovery, around the creation of 3D materials. So there's many, many ways we're going to harvest and tap into ML here. We have a lot of data and feedback from our users. And stand by, and read more, please, on Thursday.
Omar Dessouky: That’s wonderful. Okay, we’re looking forward to that, reading that blog. I guess first for a follow-up and a separate question, you've talked about the kind of transition, you've talked about the transition to a limited items, economy and exclusively limited items, economy on Roblox. I just wanted to hear how your thoughts have evolved on that and what you see timing might be, whether that would be phased or if it's already in progress and when it would kind of be complete? Also, I guess, as part of that process, will you still be having items created primarily by UGC creator program? Or will it become open by the time of the completion to the general public and the general user base?
David Baszucki: I will share the long-term vision. You are going to see pieces of this rollout throughout the year. With long-term in the real physical world, there's no constraints on who can create the items that we use in our everyday life. New people can enter that market at any point in time. And we have a wide range of pricing and activity in the real world. We have generic items like white T-shirts, we also have very expensive items like Gucci purses. We're working as quickly as we can to mimic the range and expressiveness of the commerce we see in the real world and potentially go beyond that. So this is actively under development. We're moving to a UGC economy where there is no limits, where everyone can participate and where robots doesn't make everything – anything really our community makes all of it, where the economy is very vibrant where more and more creators can make a living, creating items on Roblox, and we have a wide range of pricing that makes economic sense. So, look for more and more things during the course of this year and more and more innovations that mirror how the real world economy works in a virtual world like Roblox.
Mike Guthrie: Thanks, Omar. We'll catch up with you in about an hour. We're going to move to the next caller if that's okay.
Omar Dessouky: Thank you.
Mike Guthrie: Thanks.
Operator: Your next question is from the line of David Karnovsky with JPMorgan. Your line is open.
David Karnovsky: Hey, thank you. Dave, on the prior call, I think, you mentioned that 17- to 24-year-old users were mostly monetizing in the top experiences, but we're experimenting with some of the aged up experiences. So I wanted to see if you could update on this, whether those older users are starting to migrate further into the mature content and what opportunity that presents for next year? And then, Mike, just on expenses, there was real moderation in cost growth quarter-over-quarter for R&D and infrastructure. Just wondering if you could kind of discuss how you're thinking about investment for those OpEx lines in 2023. And if that growth pace we saw in Q4 is kind of reasonable to assume going forward. Thank you.
David Baszucki: I'll give a general highlight. When we say mature experiences on Roblox, as of now with our experience guidelines, we do not have any 2017 enough experiences. So the experiences on Roblox are nudging in that direction. We are seeing more and more things that I would say are exciting for older players. It’s interesting that the core genre in Roblox has really perked up in the last three or four months’ experiences like doors and others have become very, very popular. Many of the experiences on Roblox, even for older players cover all age ranges as well. And just as in the very early days of Roblox, we saw the market really respond to the opportunity of that player base. We’re seeing that with our game fund as well. So there’s more and more aged-up content showing up on the platform.
Mike Guthrie: And so yes, and David, on costs, maybe just back up a little bit. We really – if you look at our cost structure, there’s really four primary areas of costs in the business. The first one is, of course, COGS and payment processing, which is more or less strictly variable, though, has been coming down as a percentage of bookings, primarily because – we’ve been really successful with prepaid cards and other alternative payment methods that are lower cost. So that’s one. The second one, of course, is the investment in the developer community. And in a sense, we have been leaning more heavily into that. We think that the returns are now – we’re seeing those returns in more content, better content, which has historically been a part of the flywheel that’s driven Roblox for years. And in a way, the savings in margin that we’ve seen in COGS has more or less moved into over the last few years into the investment in the community, which we think is great. Those are variable costs. On the fixed cost side, it’s been infrastructure and people, as you rightly point out. We made a lot of investment in human capital over the last few years. This year, we’re slowing down the rate of hiring, but we are still hiring quite a few people. We’re making a huge investment in great engineers. We still need them. We still have ambitions that are large and a lot of work to get done. So we’re going to continue to make that investment, but we are slowing that down just slightly over the last couple of years. And some of that is also digestion and bring in a more senior team to help manage and onboard and grow the engineering teams, which is great. As it relates to infrastructure investments and trust and safety, those are high priorities. They really tend to be driven by the growth in our user base. So the users have an amazing experience. But we do – over a long period of time, we expect that is going to be a high – an area of high operating leverage. I’m not prepared to talk about the growth rate of expenses. I’ll have to go back and take a look at Q4 and reference exactly what you’re talking about. But I would expect to see us to continue to invest because we think the investments are high ROI. But to the extent we are driving healthy growth in the top line, we have operating leverage, which is what you saw in the fourth quarter. So normally, just in terms of trends because I know this question will come out. Fixed costs tend to continue to grow throughout the year as we hire and invest in infrastructure, again, albeit at a slower rate possibly this year. But overall, as the top line keeps growing, we think that’s the right way to show operating leverage because we do believe the investments we’re making are very high ROI.
David Karnovsky: Thanks.
Operator: Your next question is from the line of Mario Lu with Barclays. Your line is open.
Mario Lu: Great. Thanks for taking questions. The first one is on the January trends for bookings, a 3-point acceleration ex-FX. So I was just curious in terms of how to parse that out. You guys also mentioned the Lunar New Year coming in January this year. Is that typically an uplift to bookings or a drag? So any color in terms of what that trend looked like before diluting the year would be helpful. Thanks.
Mike Guthrie: Well, December bookings is probably a good guide before the Lunar New Year because it was before Lunar New Year and the growth rate was pretty high. So that’s probably a good way to look at it. What was – and so what was the other question about? Yes. So January, Yes, January accelerated a little bit over December because the business is accelerating. There’s more content. There’s better content. We’re seeing growth. It really is basic stuff. We’re seeing growth around the world, as Dave talked about, specifically incredibly strong growth in strategic regions. So I think Western Europe and East Asia, we talked about that area being a secular tailwind of the company, I think, in the last earnings call, and that continues to be the case. As an example, just in the month of January, within the strategic region alone, bookings grew by about 37%. So – and that’s now becoming a pretty big part of the bookings. Opportunistic regions, Latin America, Southeast Asia, et cetera, grew at 23% in January. So again, huge part of the world, lots of population and also healthy growth. The other thing that’s continued to allow us to drive bookings growth overall is the fact that in our core markets, U.S., Canada, UK, Scandinavia, ANZ. Those are the parts of the world where we had highest rates of penetration, biggest businesses going into COVID, obviously, they popped up very high during COVID because we were so well established there. But we are now through that and now growing above the peaks that we had in terms of the user base in COVID. And in particular, our younger users continue to grow, even though that’s the most highly penetrated part of the market. But really, it’s those aged up users that Dave referenced, 13 to 16, in particular, 17 to 24-year olds. And now we’re seeing really interesting growth and substantial scale in the 25 and over user base. So really, its strength around the world and strength in all age demos, but in particular aged up.
Mario Lu: Helpful. Thanks, Mike. And then just one on the EBITDA margins. It was 20% in the fourth quarter, any update to your prior commentary that EBITDA margin should be below 10% in 2023, especially with the strong bookings growth in December and January. Or should we expect any upside to bookings kind of reinvested back into the business? Thanks.
Mike Guthrie: I think what we hope everyone takes out of the fourth quarter is that over the course of the year, we were really, really thoughtful about what we invested in. We believe that we had a business that had a very, very long way to go. We took a really long-term perspective. We believe that hiring great people was the right thing to do. We believe that investing in the infrastructure was the right thing to do. And that the best way to show operating leverage was to grow the top line. And so we were – I know the concept of efficiency is being talked about a lot, which is obviously very, very important. And you can get there in a couple of different ways. You can get there through cutting costs, you get there through growth in the top line, you can get there by doing both. We chose very strategically last year to invest in the belief that the top line would grow, and we would see that kind of leverage. So my only update to what I said last year is that we are thoughtfully investing this year. We were fortunate to bring in a lot of very talented engineers over the last couple of years and talented employees in general. We can slow that growth this year a little bit, but we’re still out investing. And our investments in infrastructure are supporting an ever-growing user base. And those users are converting at very high rates into payers, they’re doing what they’ve always done, which is as they stay on the platform, they find great content, they make friends, they find a community, they end up being very valuable. And then – and Dave, as a follow-on.
David Baszucki: Reiterating on what Mike is saying, there is enormous long-term headroom in our business. We’re focused on getting to 1 billion DAUs on the platform. The largest segments in our business are 2017 enough and those are growing at enormous rates. And we really are focused on the appropriate balance of growth, innovation and efficiency. Our infra is amazingly efficient. We’ve built our own cloud, which continues long-term to bear efficiency benefits. And we have a fair amount of control on our headcount, velocity and growth. And simultaneously, we’re trying to move as much money as we can to the developer base. So we’re taking a very balanced approach here to the velocity of innovation as well as our efficiency.
Mario Lu: Great. Thank you both.
Operator: Your next question is from Bernie McTernan with Needham & Company. Your line is open.
Bernie McTernan: Great. Thank you for taking the questions. Just wanted to hear win on Western Europe and APAC. Just any additional color you can provide in terms of why the acceleration is happening right now from either engagement perspective or content perspective that or anything else that’s driving this?
David Baszucki: Some of the countries in APAC and Western Europe are not as mature as the U.S. as far as our user growth. But I would highlight the U.S., which has been traditionally where we got our start continues to show amazing growth and continues to show growth in the 9 through 12 segment, which is really where we’ve got our start. So there’s underlying growth that is worldwide as we focus on frequency. And as we focus on engagement, we focus on the quality of our product, even for our core market, but on top of that, Germany, France, less mature than the U.S. continuing to grow in January in Germany and in France, we saw DAU and hourly growth both north of 20%, so there’s a lot of room there. And we ultimately, once again, as part of our vision of innovating the way people come together. We are ultimately trying to get every country in the world to the same level of engagement as the U.S. And so some of those countries are just earlier on the growth curve.
Mike Guthrie: Yes. And Bernie, just as you’re doing the math, maybe two thoughts. One is, I think David talked language is getting better and better everywhere around the world. So where there is translation. I think that certainly is helpful. But the other thing is because as Dave mentioned, in the U.S., we started off with a younger age demographic. Through that age demographic became very, very popular there and then the older age demos started to come on board. In some of the other markets in Europe and Asia, it took a while for Roblox to sort of get there. And when it did, it was almost like we have much more content to all of the ages same on the platform almost more so at the same time. And so we get growth from U-13 and over 13, almost at the same time in places like Western Europe and East Asia. And I think that has – that affects the math as we see the platform really gaining traction because it’s doing so across all ages in those markets at the same time.
David Baszucki: One final risk on what Mike said and also, refer on AI. One other thing behind the scenes is we continue to improve on our own natural language translation facility, which is getting better and better the higher of the quality of that system, the higher is our experienced quality around the world because our developers traditionally develop in one language and we auto translate into many, many languages for them. An example would be Japan, which we believe we started to hit the level of product quality both on our app as well as the experiences to drive viral growth there. And in January in Japan, our hours and our DAUs were growing at over 100% year-on-year. So there’s a little bit of a leverage as we improve the quality of our translation technology.
Mike Guthrie: And we do see signs of different kinds of content being popular in different parts of the world, and that obviously speaks to massive developer community. And when you have that – again, that flywheel of content and users, it’s very powerful. So what we see being very popular in Japan is slightly different than what we see in other parts of the world, slightly different than Europe, slightly different than the U.S. There’s generally a certain measurement of local affinity. And so the more we lean into the community, which we certainly did again last year, significant investments in our creator community, the more content that’s appealing to more people around the world, and I think we’re just continuing to see that leverage.
Bernie McTernan: That’s great to hear. Thank you. And just as a follow-up to one of the previous questions on fixed costs. If we look at R&D and trust and safety, is there just a rough breakdown the rule of thumb we can think about for how those buckets are people versus infrastructure?
David Baszucki: I can go very high level on that. Trust and safety, we believe which is our top priority over time, has a lot of headroom around automation. And our view as we add more ML and more automation to our trust and safety systems, we’re optimistic this is going to scale well below a linear type rate. Whereas with R&D, we have a fair amount of more control on the more engineers we hire, the faster we can develop product and so tend to balance that independently. But look for trust and safety to scale below linear as we grow.
Mike Guthrie: And Bernie, we can spend some time on the model, but let me make a comment. I hope is helpful and let’s see if I get towards your question. On trust and safety, most of the cost today is headcount related. I think over time, it won’t all be headcount related, but that is more of a fixed cost in the short run number where you get leverage over time. Infra is about running data centers and the cost of the data center. So think of those as more like fixed cost investments where they get absorbed over time as the user base grows. And as the user base monetizes, you’ll see absorption of that and then leverage on the model. So the infra is almost all the cost of the data center is very few people cost and trust and safety is the opposite.
Bernie McTernan: Understood. Thanks guys.
Mike Guthrie: Okay.
Operator: Your next question is from the line of Brandon Ross with LightShed Partners. Your line is open.
Brandon Ross: Hey. How are you? Thanks for taking the questions. Kind of sticking on the cost theme here. I think in response to David's earlier question and a few times throughout the call you talked about reinvestment in the community. And you paid developers more than ever in Q4. But if I look at it on a percentage of bookings basis, DevEx came down to, I think 20%, the lowest it's been in five quarters. I was wondering if you could – that doesn't feel like an area that would benefit from leverage. So just wondering what your thoughts are on the trajectory of how you're paying the devs community on a percent of bookings basis and what you see going forward as we kind of clean up our models?
Mike Guthrie: Yes, Brandon, so it's not intended to go down as a percentage of bookings. Bookings grew very quickly in the fourth quarter. So we had a little bit of, again, absorption if you will of the cost. And so – but generally, if you look at that over the last three or four years, you're going to see a shift of a few hundred basis points. So December was – Q4 in general was a little bit unusual because of the spike in the growth rate of bookings. Our intention is to continue to move more of the economics towards the dev community. Our intention is to continue to find innovative and cool ways for the devs to monetize on the platform through various sources of bookings and monetization. And yes, normally, I would expect that, that's one number that I can tell you will go up as a percentage of bookings this quarter and throughout the course of the year. So I'll go back up to where we have been, which is like that 22%, 23% range, and we'll still try to push through higher numbers. So what you're seeing in Q4 was unintended leverage because of the top line. Does that make sense?
Brandon Ross: Yes. Essentially, it's timing. It's like you're timing.
Mike Guthrie: Timing okay. That's right. That's a good way to put it.
Brandon Ross: Just simple...
Mike Guthrie: In the month of December, that number – the amount of capital at the dev community was an all-time high. And obviously it's a seasonal number because it's – because we obviously have high bookings and it's largely variable. But we noticed, as we did the math that if the run rate at December, you – we can see it in the near future where the market availability for debt is $1 billion plus, which is really exciting for us.
Brandon Ross: Great. And then I wanted to dig in a little bit on brands and advertising because that was a highlight at RDC and your Investor Day. So couple of questions there. How of the ad test gone that you've been – that you've been executing on? And do you expect advertising to be any kind of real contributor this year or next? And you mentioned brand experience the likes of Elton John, which actually caught my attention because the fan base for Elton is obviously much older than probably your typical user. And so, have those been successful from an engagement perspective? And how – to what extent our experiences like that driving this age up that we're really seeing from you guys?
David Baszucki: Yes. They are a part of it and for performers like Elton John, we see millions and millions of people visiting their experience. But that's just a part of it, there's continuously more and more high-quality content that is a daily, weekly, monthly place where our older players come to visit as well. We are in the very early innings of advertising right now. We are – we have our eyes right on the target of making this a self-service platform above and beyond the early experiences we're doing with brands. And we believe there's a huge market for on-platform advertising for brands who want to bring people to their experiences to engage. We've been very, very conservative on the forecast this year as far as the contribution from advertising. But when we look at other platforms and whether it's print or online, web or video and we look at the level of engagement on those platforms relative to on Roblox, obviously the opportunity is really, really large. So you will see us this year rolling out more and more self-serve capabilities for advertising but we're being very conservative on the contribution.
Mike Guthrie: And Brandon, we're going to move on, just because we only have time for one more question, but we can catch up with you after. Thank you for the question. All right. We have time for one more.
Operator: Your final question comes from the line of Clark Lampen with BTIG. Your line is open.
Clark Lampen: Hey. Thanks guys. Two quick ones, I guess, for me. Dave, I guess, just to clarify, was there any contribution from advertising or a meaningful one in the first quarter or in January, I guess, I should say. And could you comment maybe a little bit more on sort of what's working or not working? You talked about the ad units, sort of teleportation and then also more static units last quarter. Anything, I guess that you would call out in terms of advertiser or more to [indiscernible] response so far? And then, Mike, if there's time, could you remind us, I guess, given some of the lumpiness with sort of COVID and comps over the last year or two, what sort of seasonal patterns maybe we should expect for either the duration of metrics reports for the next sort of quarter or two? Thanks.
David Baszucki: Yes. We are working with a select number of brands as part of our early experiments with advertising. I think any contribution that would shop essentially shouldn't be considered right now. We've got our eye on the prize of self-serve this year, at which point you'll start to see the contribution.
Mike Guthrie: Yes. So Clark, on comps, we're largely, I think, through COVID comparisons, which is nice to say. This time last year we were basically coming out of Omicron. And so we don't really – other than in emerging markets, we don't see too much of COVID variability in our numbers. And I think getting through that in December and January has been helpful and has cleaned up the analysis for people. So I think going forward, I'm optimistic that we're more or less through that. I would – it seems to me like December and January performance would indicate that we're done with that. So anyway, so I assume for the rest of the quarter we'll feel the same way. We shouldn't see anything around COVID meaningfully affecting the numbers. Again, some of the emerging markets are a little bit behind where we are in the U.S. and Europe. But we don't really see that. We look through our trend data; we don't see big swings related to COVID anymore.
David Baszucki: Yes. And keep an eye on our year-on-year numbers, which in effect, neutralize seasonality, Q4 always tends to be bigger around the holidays. But keep an eye on our year-on-year numbers which kind of take care of that.
Clark Lampen: Thanks so much.
David Baszucki: Yes. I think we're going to wrap up here once again. I just want to thank our investors and the Roblox community. I appreciate you being on the call with us.
Stefanie Notaney: Thank you for joining us today. And Brent, thank you for being a great operator, and that's a wrap for us.
David Baszucki: Thank you, everyone.
Operator: Thank you, and that does conclude today's conference call. Thank you for your participation. You may now disconnect.